Operator: Thank you for standing by. Welcome to the Sodexo First Quarter Fiscal 2015 Revenues Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question and answer session, [Operator Instructions] I must advise you that this conference is being recorded today, Friday, the 9th of January 2015. I would now like to hand the conference over to your first speaker today, Mr. Pierre Benaich. Please go ahead, sir.
Pierre Benaich: Thank you. Good morning, ladies and gentlemen. Good morning all and happy New Year. This is Pierre Benaich speaking. Welcome to our first quarter fiscal 2015 revenue call. On the call today you we have Sodexo CEO, Michel Landel and Sian Herbert-Jones Sodexo's CFO. The slides and press release, as you know are available on the website. We also run the live audio webcast, which will be available on our website. There will be an audio reply of this call available later today at 10:30 am Paris Time. To go to the replay, you have to dial 44-01452-550-000 with an access code 48506112 and that will be available through January 22nd. This audio replay will be, of course, archived on the web for the next 12-month. As usual this call, relates only to revenues and we won't today discuss our profit performance. This call is being recorded and may not be reproduced or transmitted without our consent. This presentation contains statements that may be considered forward-looking statements and as such may not relate strictly to historical or current facts. These statements represent management’s views as of the date they are made and we assume no obligation to update them. You are cautioned not to place undue reliance on our forward-looking statements. I would like now to turn the call over to Mr. Michel Landel, and just to mention one housekeeping point that Sian is stuck in traffic, so we will probably comment the next few slides after Michel's remarks. Thank you. Please, Michel.
Michel Landel: Thank you, Pierre. Good morning ladies and gentlemen. Thank you for joining us this morning and happy new year. Happy new 2015, hope it would be a successful year for everyone. Before we start this presentation, I wanted to share with you that one of the 12 victims of the terrorist attack that against the French newspaper Charlie Hebdo was an employee of Sodexo. Actually the building where the shooting took place is managed by the real estate department of the city hall of Paris, which is a client of Sodexo in France, where we operate FM services. If you don't mind, I would like us this morning, all of us, to share a moment of silence in memory of Frédéric Boisseau, who was 42 years old. He was married with two children and he had a 15-year length in Sodexo, so I would like to take this moment for him and also in memory of all the victims of this tragedy. Thank you very much. Thank you all for taking this time with us and sharing this time with us. Let's now talk about our first quarter revenues performance. As you can see on Slide 5, organic revenue growth was 2.3%, which actually is in line with our expectations. It includes a revenue growth of 1.9% for our On-site Services business and a very strong 12.1% in Benefits and Rewards Services. Clearly, our Integrated Quality of Life offer, which includes Benefits and Rewards, of course, remains the main driver of our performance. Concerning On-site, I would mentioned two specific points. First, facilities management services continue to drive growth, with organic growth rates reaching an average for the group roughly 5%. As we have talked about the last six months now, the rest of the world is back on the positive side. One of the reasons is that Remote Sites is back on track, because of the new contracts which have been signed in recent months. Finally, I also would like to remind you that these numbers still reflecting the impact of our voluntary exit from underperforming contracts, including ManorCare for approximately 75 basis points, which represent €40 million in the first quarter. In total, we expect these exists to have an annual impact of €170 million on our revenue. Now, turning to Slide 6, you can see total growth of 4.7% of which 2.3 of organic growth as we just mentioned and 2.6% due to favorable trends in foreign exchange. The most favorable variance comes from the U.S. dollar versus the Euro, and very moderate negative variance from the Brazilian Real versus Q1 of fiscal '14. However actually some other currencies, including the Chilean Pesos, keep deteriorating versus the Euro. On Slide 7, I want to share with you some of the very good recent commercial successes that we had of our Integrated Quality of Life offer. First, [indiscernible] in the UK and Ireland, we have now there Integrated Facilities management partner, Sodexo will deliver the full range of hard and soft services across their 70 sites, again, in UK and Ireland. From their global headquarters in London to manufacturing plants and [indiscernible], also I would like to mentioned this Vipshop e-commerce. We are very, very happy that we have been able to sign a contract with this very, very promising company. Probably it will grow in the future. In remote sites, we have added a lot of contract in the Middle East with Samsung, to provide a full integrated service portfolio in healthcare. We had a few very good wins in the U.S., including Vidant Medical Center, which is a seven-hospital network, where we provide full services. In Defense, we signed an important contract with the French Defense Ministry, where we have to design, supply and operate the future TELSITE, which is a remote site that will oversee the consolidation that is all in Moulineaux, in French and it is a contract, which will last at least three years. In Justice, we are very proud to have been able to close the contract with the Justice Departments in the UK. We have won six of the community rehabilitation company contracts in partnership with a charity business. It is a seven-year contract, worth more than £500 million and this is part of the transforming rehabilitation reform program, changing the way the tenders are managed in the community to bring down rates [ph] in England and Wales. Last but not least, some very good wins in Benefits and Rewards, which had actually many successes. I would mention another contract with Samsung, which is part of the global Samsung promotion campaign in Indonesia. Also, a big contract with Correios in Brazil, where we will Sodexo cultural pass to the 100,000 Postal Service employees in Brazil. That for my introduction, good news is, Sian made it, and went out of traffic. It is raining here in Paris. Sian, can you give us some more details on our performance?
Sian Herbert-Jones: Thanks, Michel. Good morning and happy new year to you all. I will add some details to the highlights that Michel has already given you regarding this first quarter's revenue performance. As usual, let me first comment On-site Services activity. By geography, by geography in the UK and Ireland, our organic revenue growth has remained very strong, 6.1%. Clearly, this is driven by our new business and additional services, highlighting the success of our facility management services, particularly in corporate, in justice and in healthcare. Today, Facilities Management Services represents around 50% of our revenues in the UK. In North America, our organic growth has been 1.4%. Whilst we achieved solid performance in corporate trends have been more moderate in healthcare and in education as I will explain in more detail shortly. In Continental Europe, revenues remained flat versus the prior year and this reflects deceasing volumes in food service on the one hand, but it is completely offset by our growth in facility management services. Finally, a 4.5%, we are growth in the rest of the world. This includes, as you know, Asia, Australia, Latin America, Africa and Middle East, and also our remote sites activities across the world. As announced last November, this improvement is explained by the good new business development in remote sites. If we look at our organic revenue growth performance by client segment, Slide, 11, in corporate, our organic growth has been 4%. Corporate, as you know, includes Corporate per se, but also Defense, Sports and Leisure, Justice and Remote Sites. Our solid approach reflects the strong contribution of our integrated Quality of Life Service offers in many geographies but particularly in North America and the UK and Ireland. It is driven by positive growth of just over 3% in Remote Sites. In Healthcare and Seniors, our revenues are broadly flat, actually minus -0.2, and this reflects lower new business development in fiscal '14 and also the impact that we talked to you about last November of our withdrawal and partial exit for a number of sites operated with chain [ph] ManorCare in North America. This followed a change in the strategy and business model of our client. In Education, revenues were also pretty much stable. While student participation both, in K-12 and campuses in North America is driving solid comparable unit growth and also development is strong in the emerging economies. There are two factors that are weighing on are both, first the impact of contract exits following our operational efficiency and cost reduction program executed in the last fiscal year, both in north America and in Europe. Secondly, our selective approach to new business notably in the public markets in Europe. Looking now at Sodexo's top-line revenue performance by geography, as you can see on Slide 12, our revenues in North America were €2.1 billion, with organic growth of 1.4%. In Corporate Services, the growth trends continue to be very solid at 6.1%. Our growth comes mainly from new business and from the extension of our service offering and Facility Management Services, including hard FM, providing to a prestigious array of clients, including Alcatel-Lucent, Boeing, Walt-Disney, Bloomberg and Citibank. In Healthcare and Seniors, organic revenue growth has decreased by 1.1%. The ManorCare, partial exit I mentioned, together with a closure of several laundry facilities weighs approximately 120 basis points on its growth. In education, organic growth was 0.9%, as I said we are seeing good student participation in both universities and in school sites across North America. Plus, we stepped out of the Detroit Public Schools contract at the end of the last fiscal year due to solvency issues. This is weighing approximately 50 basis points on our growth. On Slide 12, you will see that continental Europe, revenues reached €1.5 billion, pretty much flat versus the prior year period. Client downsizing, budget cuts and the economic environment continue to weigh on food volumes in countries such as Italy, France and Finland. Volumes in Food Service remained generally negative in many European countries on average by around 3%. In addition, our growth in continental Europe in all segments is impacted by the effects of the decisions made to withdraw from some business and the operational efficiency program that we executed in fiscal 2014. That said, Sodexo's success in more comprehensive facility management and technical services has helped offset these two elements. In Corporate services, our organic growth in the first [ph] has been accelerating, compared to fiscal 2014 and stands at 2.9%. As Michel highlighted earlier, Sodexo is clearly benefitting from the ramp up impact of some integrated, fully comprehensive services for international contract with customers such as Johnson & Johnson, Carlsberg and some others. Also, our pipeline remained solid. Revenues in Healthcare and Seniors were down versus the prior year by 2.5%. In an environment where social and fiscal pressures continue in countries such as Spain, Italy and France, new business activity has remained very soft and we are maintaining our selective stance regarding new business with strong commercial profitability and cash flow requirements. In Education, revenues were down 6.1%, given the pressures on public sector budget throughout Europe. Let me turn now on slide 14, Sodexo's operations in the rest of the world. Our revenues for the first quarter were €0.9 billion. As I said previously, the organic growth has accelerated strongly and stands at 4.5%. I would also point that negative currency variations are much reduced from the levels we saw last year. Our organic growth in remote sites is now back to positive and stands at 4.1%. This is driven by new business wins in the energy infrastructure and also with some mining clients. For example, Woodside Energy, BHP, GemCo in Australia and Samsung in the United Arab Emirates, in all of the segments in the rest of the world, organic revenue growth first quarter continued at a sold rate of nearly 5%. In the Corporate segment, our organic growth was almost 10% in India, and in the double digits in Southeast Asia. Our new business momentum remains good, with new clients such as the prestigious Vipshop in China. In Healthcare and Seniors, our organic growth is very strong, actually reached an impressive 23.3%, benefitting from the leverage of our global healthcare expertise and we recorded solid business wins in both, Latin America and China. In education, growth also remained solid, 14.6%, driven by a good performance in Asia, notably in India and in Southeast Asia. Also in Latin America, more particularly in Brazil. Despite the current slowdown in some economies in the rest of the world, we remain convinced our leadership and positioning in these emerging markets is a strong competitive advantage for Sodexo in the medium-term. To conclude with our On-site activity, let me now comment on the UK and Ireland. Slide 15, revenues reached €400 million and our organic revenue growth is as I said earlier a solid 6.1%. This is driven by good client retention and growth coming from both new and existing sites. In Corporate Services, our organic growth is 6.6%. Although food volumes are down like elsewhere in Europe, this is being more than offset by Sodexo's strong operating and growth in facility management and particularly technical services. Services performance at new and existing sites for clients such as GSK, Rexam and [indiscernible]. The first quarter also benefits from one-time extra works related to the contract with the Ministry of Justice at Northumberland Prison. I remind you that is the prison we started operating just 12 months ago. In Healthcare, our growth stands at 5.2% and it is mainly driven by service extensions in various hospitals. Finally, in Education, organic revenue growth stands at 4.1%. It is back to positive for the time since the first quarter of fiscal 2013. Our teams had encouraging success with new contract awards in the university market, including University College of London and also City of London University. Let us turn now to Benefits and Rewards Services, which as you know is a key component of our overall Quality of Life Services offering and where the dynamics remained particularly strong as you can see on Slide 17. Now, to calculate organic growth, we have restated quarter one of fiscal 2014, using the August 2014 exchange rates for the Venezuelan Bolivar. As this neutralizes the effect of the de-valuation, we applied in the third quarter of last year. Our issue volumes for the first quarter has been €4.2 billion, with organic growth of 7%. Revenues in benefits and awards have been €198 million and organic revenue growth stands at 12.1%. I will comment on the difference in growth rates between issue volume and revenues by geography. On Slide 17, you can see that in Latin America, organic remained very solid at 13.2% for issue volume and 17.1% for revenues. Growth is driven for around two-thirds by ongoing face value increases in Brazil and Venezuela. For the remainder it represents new business and cross-selling, notably in Brazil and in Chile. As in previous quarter, the higher growth in revenue as compared to issue volume is explained principally by timing differences since affiliate commissions reported in revenues of reinvestments and made that - into a different quarter than the quarter that records the issue volumes. Also, to a small extent, due to the impact of recent rising interest rates on the float notably in Brazil. In Europe and Asia, organic revenue growth has accelerated significantly versus the prior year and stands at 6.3%. This performance includes encouraging new sales trends in Turkey, in Central Europe and also in Asian markets such as India and China. The difference in growth performance between issues volume and revenues, comes primary from the relatively low evolution of volumes on the O&M or universe services contract we have with the government in Belgium. Volumes on this contract were very high in the first quarter last year. As you know, this contract represents significant issue volume, but has a very marginal impact on revenues. Finally, we have also seen excellent growth in this quarter in our gift activities, gift boxes and gift vouchers based in several geographies. These activities have no associated issue volume, but contribute to revenue growth. This summary concludes my comments on a revenue performance for the first quarter. Let me now hand back to Michel to conclude.
Michel Landel: Thank you, Sian, for this very detailed overview on our first quarter revenue performance. To conclude, I must tell you that our teams are very focused and I just wanted to thank them for what they do today, because the environment is very versatile and complex and they are working hard to really strengthen today's shows competitiveness, efficiency and profitability. As we said in November, we are on track to deliver around 3% organic growth and also on track to deliver around 10% increase in operating profit, excluding exceptional items and currency affects and that will help us reaching 5.7% operating margin at fiscal 2014 rates, which represents an overall improvement of 80 basis points over the two-year period that was the objective that we set two years ago. Thank you for your attention and now with Sian, we are ready to answer your questions.
Operator: Thank you. [Operator Instructions]. Your first question comes from the line of Jarrod Castle from UBS London. Please ask your question.
Jarrod Castle: Thank you. Good morning and happy New Year. Just three questions if I may. Just on a remote site, obviously, some good growth coming through in the quarter. I am just trying to get an idea in terms of the crude price fall continue to fall. A, can you just refresh us what percent of that business relates to energy versus mining and other. Then secondly, I mean, do you think that could have an impact as oil companies potentially review their CapEx programs. Second question, just in terms of any additional color you can give in terms of the pipeline of opportunities i.e. are there any I guess elephant contracts out there that are progressing in terms of conversations. Then just lastly, just a little question, but just the change in scope, if you could give some color in that minus 0.2%, thanks.
Sian Herbert-Jones: Sorry. Can you clarify your third question?
Jarrod Castle: Just a change in scope of consolidation that has had a negative impact of minus 0.2%, just what is that related to?
Michel Landel: In North America, I guess.
Jarrod Castle: Yes. That's right.
Michel Landel: Let me answer the first two questions. I will let Sian answer the third one. On the remote sites and the oil prices, the oil and gas business represents only 6% of our total revenue. Of course it is an business, but what we envision today is that we have existing contract both on exploration and exportation, which running as we speak and they are not stopping, of course, so that would go on and we would not see any change on this one except the fact that we have to adjust to the demand of our clients and today, they have a lot of pressure so they are probably going to start asking to review our offer, to make sure that we are helping them here in this changeling time. As far as further investments are concerned in this industry, of course, I think some of the large projects specifically, you know, the research in deep sea will probably be postponed and that we will have an effect overall in that industry. Again, it is only 6% of our business overall and it should not have a huge impact of course on our performance as we move forward. In terms of pipeline, we have a solid pipeline as we speak in all our segments. As far as elephant contracts are concerns, we have this a transform we have which is a very, very big contract and which would have a significant effect on business, but I explained that complex during my presentation. In terms of the third point?
Sian Herbert-Jones: Yes. The change in scope of consolidation that is generally acquisition and disposals, and actually one of our call center activities in North America, we disposed off at the end of last year.
Jarrod Castle: Okay. Thank you very much.
Michel Landel: You are welcome. Thanks for your question.
Operator: Thank you. Your next question comes from the line of James Ainley from Citi. Please ask your question.
James Ainley: Good morning. Two questions please. Firstly, can you comment on food input costs and what trends you are seeing there by region? Then secondly, apologies if I missed it. Can you say what is happening to food volumes in your U.S. business and in particular in the U.S. corporate business? Thank you.
Michel Landel: Okay. In terms of food inflation on average, we should see - we should say, low inflation in Europe and higher inflation in emerging markets will probably be around 1.5% altogether as an average for the company. That is what has been planning for this year, so very low inflation in Europe as I just said. High-single digits in countries like Brazil, but low inflation in China for example, so it is a mixed bag overall 1.5% and food volume in the U.S., actually they are flat in corporate. It is not changing trend. It is clearly still in decline in Europe between 3% and 5%, so it has the changed since the last the quarter of the previous fiscal year I have to say.
James Ainley: Thanks. Could you just say what you are seeing in terms of food inflation in the North American market?
Michel Landel: Well, our food inflation in North America would be in 1% to 2%.
James Ainley: Okay. Thank you.
Operator: Thank your next question comes from the line of Ed Birkin from Credit Suisse. Please ask your question.
Ed Birkin: Morning. Just one question on the U.S. healthcare, I was wondering if you would perhaps give a bit more color on how you see the growth rates developing. Can you just confirm you started pulling out of the contracts in Q4 last year, is that right? I assume we are going to lap those in Q4 this year and then when you see the Vidant Health, benefit of that contract, kicking in.
Michel Landel: The U.S. healthcare business, of course, is not performing well, but I have to say that it is not a structural issue for that business, right? We have had some good wins and it is really the double effect of the last two years. Two years ago, we had the assumption contract that we lost, which was of the contract which affected our growth clearly. Last year, we had to terminate the majority of our ManorCare contract. We kept one part. I think it is roughly $40 million, but the majority of the contract we agreed with the client to look get out of, they self operated by the client and it is due to the effect of the Obama Care and shift of strategy from our clients. They move from having all these centers manage as retirement centers to a more rehab model, where we have to engage more people, so higher labor cost and it was not profitable for us, so we had to an agreement that we would not be able to continue to manage this contract, so we left it. ManorCare will wait on all year as we said and this year the performance of healthcare in the U.S. would not be good, right? It will recover good growth probably next year based on the fact that this would be out of ManorCare and we will benefit from some of the good wins that we have had in the last several months.
Ed Birkin: Okay. Thank you.
Michel Landel: It is not structural at all.
Ed Birkin: Education is similar in that regard or is it going to continue to be quite poor this year?
Michel Landel: Well, U.S. market education is still a good market. We have had good success. We decided to exit the Detroit Public School that we signed two years ago, which is a very important contract and we did that because of financial default, right? We exited this contract at the end of school year, right? If affects directly this year, but we have good retention in that business, we had good same-store sales growth. We have signed some good contracts, specifically the Chicago Public Schools for a full IFM contract, so that’s the reason.
Ed Birkin: Okay. Thanks very much.
Operator: Thank you. Your next question comes from the line of Jaafar Mestari from JPMorgan. Please ask your question.
Jaafar Mestari: Hi. Good morning. I have three questions please if that is okay. Firstly, just a follow-up on your exposure to oil and gas, I think, when the mining market started to look difficult a while ago, you had explained that you were probably a bit more exposed to construction in mining as opposed to ongoing extraction, i.e. in a way that your mining business correlated more with the miners' CapEx and then with their OpEx. From your answer to a question a bit earlier, are you saying now that your oil and gas business, on the other hand is much more balanced between exploration and extraction, CapEx and OpEx? Then secondly, just a follow-up on food inflation as well, I think that you just said very low inflation in Europe. Just to check that this is still the same outlook. In November, I think you [ph] flat. Finally, given your stronger growth in facilities management, could you please update us on any change on the exact range of services that you are providing to clients now? What are the latest additions to your capabilities and do you still see any gaps either in terms of geographies or in terms of services, where it would make sense to make acquisitions to extend that range of services further?
Michel Landel: Okay. Thank you. In terms of the oil and gas, it is pretty much balanced between exploration and the production. Frankly, what I said is that even with a stable business, we would have to consent our clients who have a lot of pressure on pricing. It will be probably the same that we lived in the mining business, where our clients will ask us to make efforts, but that’s fine then to keep our margins. We will probably have to move around now at service level, but that is something that we have been used to do and we should be able to do that without any big issue. In terms of food inflation, yes, food inflation in Europe, as we said, it is flat. Now it is just very, very slow and pricing we said back in November, in Europe is also flat, right? In terms of the range of services, well we are able to provide all the services that we expect to do. We still have some places, places in the world where we need to continue to reinforce our investments in terms of capabilities, in terms of acquisition, would not change our position and our strategy. We will, if we find the right targets, make acquisition in this area to acquire more capabilities in some part of the world, but again it would be a small or medium size acquisition. I hope I answered your question.
Jaafar Mestari: Yes. Thank you.
Operator: Thank you. Your next question comes from the line of Nick Edelman from Goldman Sachs. Please ask your question.
Nick Edelman: Good morning. I have got three questions please. Firstly, just in terms of the contract exits, the €170 million you mentioned, does that include the Detroit Schools. Then secondly, will the quarterly progression there would be relatively flat over next four quarters? The second question is, in terms of the difference between issue volume growth and organic revenue growth in the Benefits and Rewards segment, is that at an unusual level now? As in, should we expect some payback from the changes we have seen going forwards or actually have we seen that as a consequence of a difference previously? Then the third question is that issue volume growth slowed a bit in Latin America and I just wondered what the key driver of that was please?
Sian Herbert-Jones: Okay. In terms of contract exits, as we said in November, the full year - the contract exits under our operational efficiency and cost production program. As we said in November, we estimate the impact this year is going to be €170 million. There was €40 million impact in this first quarter. It is more relative to, I would say, it will weaken as go through quarter-by-quarter this year. In terms of the difference between issue volume and revenue, your question I think was, is it at an usual level. I would say, you have to look at Latin America and Europe differently. Europe clearly very, very clearly, the difference is explained by the O&M contracts. I would remind you, the O&M contract, we have been extended on that contract. The government will probably rebid that contract as a regional contract next year, so going forward it depends on the fate of that contract, if you like, but that will always - Once we have that contract, we always have a difference from the different between issue volume and revenue. Elsewhere, the difference tends to be just timing issues. It depends on when the affiliates come back to us at the end of the cycle, so you can issue volume in one quarter and the reimbursement maybe in the next quarter. Your third question on issue volume, sorry, was?
Nick Edelman: Maybe just the end of that last question, so what I was asking really was, in terms of that cycle of affiliates coming back are we at an unusual point there or is there nothing unusual and therefore we should not expect anything to reverse going forward?
Sian Herbert-Jones: We have not had anything unusual or usual either. Again, it is just the timing issue and it depends on, the timing of the order, because as you know generally deflated around 60 days, so the 60 if they could fall into the next quarter.
Nick Edelman: Okay. The third…
Sian Herbert-Jones: Sorry, just coming back to your first question, I forgot to say, Detroit Public School was not a contract included in our operational efficiency programs. As Michel said, we exited that contract. I would say that a normal exit and normal business decision at the end of the school year given the solvency issues of that particular client.
Nick Edelman: Thank you. The third question was just in terms of LatAm issue volume growth. That slowed a bit in this quarter versus the last few, I just wondered if there was a particular driver?
Sian Herbert-Jones: You are right. Yes. We had slightly weaker new business over last year. Obviously, the inflation trends continued strongly, but with a weaker Brazilian economy we had growth in a number of beneficiaries, but slightly weaker growth than last year.
Nick Edelman: Okay. Thank you very much.
Operator: Thank you. Your next question comes from the line of Guillaume Rascoussier from Exane. Please ask your question.
Guillaume Rascoussier: Good morning. Three questions if I may. First one on the U.S. B&I segment, it is growing fast, but there is a slowdown versus previous trends, so I was wondering if you expect that to continue on that pace. Can you elaborate just as you talked about volume traffic, but can you talk about spend per head? Are there any signs of, for instance, Christmas parties are doing fine and which would mean some push in Q2? Second question on the rest of the world, maybe I missed it, but the growth excluding offshore seems to have slowed down a bit from 7% last year to [ph], if I'm correct. Could you elaborate on the exact growth that you are registering in Brazil especially and have you seen a very significant drop? I think you were on like 4% to 5% growth end of last year. Last question regarding vouchers, is there any news on the O&M contract explaining the slowdown or is it seasonal? Can you update us on the tender to come on this contract, please?
Michel Landel: Okay. Guillaume, on B&I U.S. growth is really driven by facilities managements, so it is not a to question of spend per head. It is really a question of adding services and as Sian mentioned in the example of the new contracts we had. All these contracts are FM contracts, where we provide wide range of services and we are really selling integrated a Quality of Life Services contract, right? We will continue to see. I think good growth this year in B&I in the U.S., right? In the rest of the world, Sian mentioned 5% growth, right? It is a mixed bag, right? India is very good. It is double-digit and still growing fast. South Asia country like the Philippines and Thailand and those countries are also developing well and we see the business in healthcare, education in this business and also spending on large global accounts typically you need [ph] those contracts. In Brazil, we will probably have 2% to 3% growth this year, which is slightly slower than last year, but again Brazil is a good country for us and we are very confident in medium-term in Brazil as we move forward. China has slowdown as well a little bit, but on the other hand we are signing significant contract as well, so we should have a solid year this year in the rest of the world altogether. O&M, Sian we had a tender. Tender is probably in the middle of this year.
Sian Herbert-Jones: Yes. We have been extend yet again.
Michel Landel: Yes.
Sian Herbert-Jones: We think, we believe that probably the government will go to regionalization of this contract, but for the moment.
Michel Landel: We are still there.
Sian Herbert-Jones: We are still there.
Guillaume Rascoussier: Thanks.
Operator: Thank you. There are currently no further questions from the phone lines [Operator Instructions].
Michel Landel: Well, if you don't have any more question…
Operator: Okay. There are currently no further questions. Thank you.
Michel Landel: There is one? No.
Sian Herbert-Jones: Seems no.
Operator: No, sir. There are no further questions. Thank you.
Sian Herbert-Jones: If that is the case, let me remind you, if you want to replay this call, you need to dial 44-144-5255-00-00, and then access code 4850606112.
Michel Landel: Thank you so much for attending this call today and we will talk to you very soon.
Sian Herbert-Jones: Thank you.
Michel Landel: Cheers, bye, bye.
Sian Herbert-Jones: Bye, bye.
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect.